Operator: Welcome to the Golub Capital BDC Inc. March 31, 2017 Quarterly Earnings Conference Call. Before we begin, I would like to take a moment to remind our listeners that remarks made during this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Statements other than statements of historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time-to-time in Golub Capital BDC Inc’s filings with the Securities and Exchange Commission. For a slide presentation that the company intends to refer to on today's earnings conference call, please visit the Investor Resources tab on the homepage of the company's Web site at www.golubcapitalbdc.com, and click on the Events Presentation link to find the March 31, 2017 Investor Presentation. Golub Capital BDC’s earnings release is also available on the Company’s Web site in the Investor Resources section. As a reminder, this call is being recorded for replay purposes. I will now turn the call over to David Golub, Chief Executive Officer of Golub Capital BDC. Please go ahead, sir.
David Golub: Thanks very much, Carlos. Hi everybody, and thanks for joining us today. I am joined by Ross Teune, our Chief Financial Officer; and Greg Robbins, Managing Director here. Yesterday afternoon, we issued our earnings press release for the quarter ended March 31 and posted an earnings presentation on the Web site. We are going to be referring to this presentation throughout the call today. I am going to start by giving you an overview of the March 31 quarterly financial results. Ross is then going to take you through the results in more detail and then I’ll come back and provide some closing remarks and open the floor for questions. The quarter was another solid one for GBDC. For those of you who are new to the company as investors, our investment strategy today is and since inception has been to focus on providing first lien senior secured loans to healthy Brazilian middle market companies that are backed by strong partnership oriented private equity sponsors. Last quarter in my remarks I talked about two macro trends. First, I talked about the continuation of credit market inflation and what I meant by that was we were seeing tighter spreads, higher leverage and looser terms in our part of the credit market. The second macro trend I talked about was that we were seeing mix data on prospects for the economy. On the one hand equities and confidence surveys pointed to accelerating growth prospects but on the other hand earnings and growth seasons were lackluster. I will come back and talk more about those trends in my closing remarks. In a nutshell, we are seeing both trends persist and this is creating a challenging investment environment. With that, let's dive into the details for the quarter. Net increase in net assets resulting from operations or net income was $20.7 million or $0.38 a share and that compared to $19 million or $0.34 a share for the quarter ended December 31. Net investment income or as I call it, income before credit losses was $16.5 million for the quarter or $0.30 a share as compared to $16.9 million or $0.31 a share for the quarter ended December 31. If we exclude the $0.9 million GAAP accruals with a capital gains incentive fee, net investment income was $17.4 million or $0.32 per share as compared to $17.4 million or $0.32 per share for the prior quarter. Consistent with previous quarters, we have provided net investment income per share excluding the GAAP capital gains incentive fee accrual because we think this adjusted NII is a more meaningful measure. Net realized and unrealized gain on investments and secured borrowings were $4.2 million or $0.08 for the quarter. That was the result of $0.7 million of net realized gain and $3.5 million of net unrealized appreciation. We are pleased to see another quarter of what I sometimes refer to as negative credit losses. Net asset value for share rose to $15.88 at March 31, from $15.74 at December 31. This was due to a combination of net income in excess of our quarterly dividend and accretion from the follow-on common stock offering we did in March 2017 as a premium to NAV per share. Now middle market investment commitments for the quarter totaled $97.1 million and of that 53% were in traditional senior secured investments, 38% were one stop loans, 8% were investments in our senior loan fund and 1% were in equity co-investments. Due to a few larger traditional senior secured investments this quarter, senior secured investments represented the majority or our new investments but in future quarters we anticipate that the majority of the originations asset mix was going to shift back to one stops. We continue to believe that one stops are the most attractive product from a risk reward perspective in the current market. Overall, total investments in portfolio companies at fair value increased by a little over 2% or $37.7 million during the quarter after payoffs and sales to SLF. Turning to Slide 4 in the presentation. You can see in the table the $0.38 per share we earned from a net income. The $0.32 per share from a net investment income perspective before accrual for the cap gains incentive fee. And you can see our NAV per share of $15.88. As shown on the bottom of the Slide, the portfolio remains very well diversified. We have got investments in 185 different portfolio companies with an average size of $8.7 million per investment. With that, I am going to turn it over to Ross, who will provide you with some additional portfolio highlights and discuss the financial results in more detail.
Ross Teune: Thanks, David. I will start on Slide 5. We had total originations of $106 million and total exits and sales of investments of $73.2 million, which contributed to net funds growth of $37.7 million for the quarter. Turning to Slide 6. This Slide shows that our overall portfolio mix by investment type has remained very consistent quarter-over-quarter with one stop loans continuing to represent our largest investment category at 77%. Turning to Slide 7. This Slide illustrates the fact that the portfolio continued to remain well diversified with an average investment size of $8.7 million. Our debt investment portfolio remained predominantly invested in floating rate loans and there have been no significant changes in the industry classification percentages over the past year. Turning to Slide 8. The weighted average rate of 6.4% on new investment this quarter was down from 6.9% in the previous quarter, primarily due to asset mix with traditional senior loans representing the majority of new investments. Furthermore, as we noted in our last call, market spreads continued to compress. As a reminder, the weighted average rate on new investments is based on the contractual interest rate at the time of funding. For variable rate loans the contractual rate will be calculated using current LIBOR, the spread over LIBOR and the impact of any LIBOR floor. Shifting the graph on the right hand side. This graph summarizes investment portfolio spreads for the quarter. Focusing first on the light blue line, this represents the income yields or the actual amount earned on the investments including interest and fee income but excluding the amortization of discounts and upfront fees. The income yield remained constant at 7.7% for the quarter. The investment income yield, the dark blue line which represents amortization of fees and discounts increased modestly to 8.2% during the quarter ended March 31. The weighted average cost of debt, the green line, increased by approximately 10 basis points to 3.5% for the quarter which corresponds to an increase in the LIBOR rate. Flipping to next Slide. Credit quality continues to remain strong with non-accrual investment as a percentage of total investments at cost and fair value of 0.3% and 0.1%, respectively as of the end of the quarter. These percentages were unchanged from the prior quarter and there were no new loans added to non-accrual status. Turning to Slide ten. The percentages of investments risk rated at 5 or 4, our two highest categories, remained stable and continue to represent over 85% of the portfolio. The percentage of 5 risk rated accounts increased during the quarter as several large investments were upgraded from a 4 to 5. We anticipate that this increase is temporary as a few of these investments are expected to pay off through the quarter ended June 30. As a reminder, independent valuation firms value approximately 25% of our investments each quarter. And reviewing the more detailed balance sheet and income statement in the following two Slide. We ended the quarter with total investments at fair value of over $1.7 billion. Total cash and restricted cash of $43.9 million and total assets of approximately $1.8 billion. Total debt was $853.7 million. This includes $451 million of floating rate debt issued through our securitization vehicle. $283 million of fixed rate debentures and $129.7 million of debt outstanding in our revolving credit facility. Total net asset value on a per share basis was $15.88. Our GAAP debt to equity ratio was 0.96 times at March 31, while our regulatory debt to equity ratio was 0.64 times. These are slightly below our target. Moving to the statement of operations for the quarter ended March 31. Total investment income of $33.6 million and total expenses of $17 million were both relatively flat to the prior quarter. As David highlighted earlier, we had net realized and unrealized gains of $4.2 million and net income for the quarter totaled $20.7 million. Turning to the following Slide. The tables on the top provide a summary of our quarterly distributions and return on equity over the past five quarter. Our quarterly distributions have remained stable at $0.32 per share, which is consistent with our net investment income per share when excluding the GAAP accrual for capital gains incentive fee. The annualized quarterly return based on net income was 9.6% this quarter and has averaged 8.4% for the past five quarters. The bottom of the page illustrates our long history of increasing NAV over time. For historical comparison purposes, we have presented NAV per share both including and excluding the $0.25 special distribution that we pay back in December. Turning to Slide 14. This slide summarizes some of our financial highlights for our investment in senior loan fund. The annualized total return for the quarter ended March 31 improved to 10.8% as there was a net gain on mark-to-market valuations during the quarter. Total investments at fair value at March 31 were $350.7 million and this was up 5.2% from the prior quarter. Turning to the next Slide. As of March 31, we had nearly $100 million of capital for new investments through restricted and unrestricted cash, availability on our revolving credit facility and additional debentures available through our SBIC subsidiaries. Subsequent to quarter end on May 2, we increased capital available for investment by increasing the size of our revolving credit facility with Wells Fargo from $200 million to $225 million. As summarized in the bottom of this Slide, on March 21 we priced a public offering of 1.75 million shares at $19.03 per share, including the exercise of the underwriters option to purchase additional shares, we raised approximately $37.2 million in net proceeds. The public offering price per share was 1.21 times, our most recently reported NAV per share. Slide 16 summarizes the terms of our debt facilities. And lastly on Slide 17, our board declared a distribution of $0.32 a share payable on June 29 to shareholders of record as of June 6. I'll now turn the call back to David who will provide some closing remarks.
David Golub: Thanks, Ross. So to summarize. GBDC had a solid second fiscal quarter of 2017. The key drivers for the quarter were consistent investment incomes from credit quality and access to the Golub Capital origination platform. I want to shift back to the macro environment. The two trends that I mentioned at the beginning of the call. As I mentioned, the trends we identified last quarter are persisting. We are still seeing signs of credit market inflation and we are still seeing mixed data on prospects for the economy. Let me give you a quick update on each of these theme. Let's start with credit market inflation. I have used this term for a couple of quarters to describe what happens to credit markets when we see too much capital chasing too few deals. Spreads go down, leverage goes up and terms got loser. We have started to see signs of credit market inflation in 2016, particularly in the second half and the trend has continued into 2017. I would estimate that spreads under the market senior loans have tightened by 25 to 50 basis points in the last six months. But leverage on senior and one stop loans has prepped up by a quarter to half a turn and the terms, especially those relating to EBITDA add backs continue to loosen. We think that smart investors in this environment are treading cautiously. Slowing their investment activity and becoming very selective about new deals. Across the Golub Capital platform, Q1 middle market origination volume was down about 25% year-over-year and an unusually high percentage, about 50% of our Q1 origination volume was in the form of add on loans to existing portfolio companies. We think this shows one of our competitive advantages are ability to generate attractive opportunities from our portfolio but it also illustrates the challenges of finding attractive new investments in today's environment. What about the economic outlook. We are still seeing mixed signals there. In financial markets, in consumer and business confidence indicators, we are seeing the confidence indicators at or near ten-year highs. We are seeing the S&P 500 and the NASDAQ at new record levels. We saw a very strong jobs report this morning. But looking at some of the other economic data, Q1 GDP came in at 0.7%, much lower than prior forecast. Consumer spending indicators have been weak, especially for brick and mortar retailers. And Q1 earnings have been mixed in respect to public companies that have reported so far. And the Golub Capital middle market report for Q1 showed margin pressure for middle market companies, especially those that are related to the consumer sector. So there is an inconsistency that we are seeing right now between equity markets and confidence indicators on the one hand and disappointing consumer spending and profit numbers on the other hand. Our sense is this inconsistency implies that we are going to see one of two futures. The first is, we may shortly see a deceleration in consumer spending, business investment and economic growth, that’s the good side case. And the second is that we are stuck with muddling growth and the equity markets are over-optimistic. As I said before in last quarter when we talked about it, our plan is to be prepared for both. We think investing in loans to healthy resilient middle market companies with a top of their capital structure, will lead to us benefitting if economic growth accelerates. In that scenario we should see more deal flow and better credit results. But if on the other hand, growth remains muddling and my personal view is that’s the more likely scenario. Then we will see a marked increase in middle market defaults and credit losses but our senior portfolio should continue to perform reasonably well. And we will be well positioned to be able to take advantage of widening spreads and more attractive opportunities that come out of a more challenged credit environment. No matter the scenario, our goals were the same. We seek to sustain our long-term track record of consistent premium returns. Thanks for your time this afternoon and for your partnership. I am going to open up the floor for questions in a moment but just one before that. That I can predict, it's taking a little longer than usual for us to finalize our 10-Q this quarter, so we anticipate filing that in the next couple of days. Carlos, with that if you could open the line for questions?
Operator: [Operator Instructions] Our first question comes from the line of Jonathan Bock with Wells Fargo. Please go ahead.
Jonathan Bock: David, as the means to condense spread compression, BDCs are utilizing non-qualified buckets. There is front end or front end leverage on various transactions. Can you walk through, for us, the view of potential expansion of growth within the SLF facility to perhaps generate better ROEs on what we will all know to be very quality first lien directly originated senior secured loans.
David Golub: Sure. I want to, before I answer that, just to give a philosophical answer to that. We at Golub Capital, we don’t invest to solve for an ROE, we invest to solve for a level of credit risk that we are comfortable with. So in an environment in which we see spread compression, our first answer won't necessarily be to increase leverage or to find ways to use our senior loan fund more, which is in essence a way to increase leverage or the shift to higher risk junior debt securities which is also in essence a way of increasing leverage. Our sense is that this is a challenging environment that our strategy ought to be a continuation of what it's been which is to lean heavily on our competitive advantages, to identify new transactions that have attractive risk reward characteristics. And if that means slowing originations, so be it. If that means accepting a degree of spread compression, so be it. And I think, I hope you would see that the one strategy that would be the big mistake in this environment would be to respond by being prepared to take on more risk. Having said that, we do see an opportunity to continue to grow our senior loan fund over time. We have grown it now to substantial size. If we get to the, up $350 million in assets today, and we think that there will be opportunities for us to continue to grow that. We are nowhere near a constraint on the use of our 30% bucket. But we are not going to rush it. We are not going to push it. We are going to grow it as we see appropriate loans to put into that joint venture. Obviously, with the approval and consent of our joint venture partner.
Jonathan Bock: Fair enough and I appreciate the discussion. Then as leverage is -- or a view of necessarily solving for an ROE but looking at a given level of risk, do you believe that the use of the additional SBIC capacity that you are offered makes for a compelling risk-adjusted return or a compelling risk argument which effectively raises, I think the [indiscernible] $231 million. How should we look at that drawing on that attractive form of financing to finance the sponsor deals going forward? Would you expect to utilize it all here shortly?
David Golub: We have to review. We have today a fairly significant amount of unused capacity available for investment. We have that in the form of both restricted and unrestricted cash. Undrawn availability on our bank facility and SBIC debentures that we have the ability to draw but have not yet drawn. I think taken together, those today are about in access of $100 million of availability. So we have unused fire power to be able to grow the balance sheet. Again, assuming we find attractive investment opportunities to deploy. One of the ways is to grow our SBIC debentures outstanding. As of quarter end, we have about $65 million of undrawn SBIC debentures. And we do view that program as being a very attractive source of financing. There are, probably everybody knows there are restrictions on what kinds of loans can go into in SBIC. So it's not as simple as saying, hey, we are just going to deploy those in the next few deals we do. We need to match appropriate transactions to ensure eligibility and compliance with all the SBIC rules.
Jonathan Bock: Got it. And not to use a quote from the great cinematic masterpiece, Legally Blonde, when they use the comment, orange is the new pink. In this context, it seems that it used to be writing a $100 million check was a huge competitive advantage. 300 and now 500. David, competition for the large sponsor backed deals that you originate, currently has increased. Can you talk about whether or not the ability to write for a check for at all, just been a great competitive advantage for you, is effectively diminished, completely diminished, possibly in the current environment. And if not, really talk about the types of sponsor transactions that you win if a sponsor has the ability to get better term financing in first lien, second lien option originated by an [Anteres][ph].
David Golub: Well, let's take a step back. So we are primarily a buy and hold investor and so when we are in discussions with sponsors about financing one of their transactions, they obviously have a choice between accepting financing from a buy and hold investor like Golub Capital or going the syndication route. And syndications are some times more attractive or less attractive. Today we are in an environment where the syndicated market is a very receptive and offering very attractive terms. But even at such a time there are some very large disadvantages to the syndicated approach. So for example if you are a sponsor and you want to move quickly, or you want to maintain information about your transaction in a very confidential form, or if you are seeking to do a lot of acquisitions after you completed your transaction. You want to do a series of add on debt investments. Those are all characteristics that would make you as a sponsor much prefer a buy and hold investor like Golub Capital to syndicate financing. So I am very comfortable and confident in our ability to win transactions and make investments that are attractive in any set of market conditions. But having said that, John, I think it's prudent for us to be more active and more aggressive in seeking new investments when we see the market environment is really as attractive as we get in the first quarter of 2016. And to be prepared to be more selective to encourage when we think that market conditions are less attractive.
Jonathan Bock: And then just a comment on the ability to, one stop or portfolio or large, I mean with more competition in the category, would you say that you are starting to see newer names with larger check sizes competing for your deals or is it always the usual two or three suspects.
David Golub: I don’t think we are seeing meaningful change there. I think we still see ourselves as being very distinctive in our capacity to bring to the table large amounts of capital in single transactions. There always have -- those funds are or everyone says to us, hey, we might give the [loan] [ph] to our company, whatever pricing and terms you say are fine with us, I am sure you will be fair. That’s not how our business works. Everything is always competitive. But we still think we have got some very distinctive competitive advantages associated with scale. Particularly in the upper middle market size transactions. But in a market like we are in today, sponsors have a choice not just between us and other potential providers of buy and hold solutions in that upper middle market category, they also have the option of going to the syndicated market. And right now the syndicated market looks particularly attractive to issuers and we are responding to that, I think in the way that we should. Recognizing that market conditions change over time.
Operator: Our next question comes from the line of Ryan Lynch with KBW. Please go ahead.
Ryan Lynch: First question has to just deal with -- you touched on it a little bit about answer with the competitive environment. So part of the, and as far as the -- you mentioned credit market inflation, heated credit markets. Part of the value proposition for one stop and unitranche loan certainly have closed. That’s not the only value proposition but that’s one of the value propositions and not necessarily better pricing. And so if we are in a market today where we are at heated markets, sponsors maybe not be as worried about certainty of the close as they were in the past and maybe able to obtain first and second lien combo pricing, or first and second lien combo loans and maybe better pricing. So are you seeing that dynamic where sponsors are choosing to opt more for first and second lien structures versus unitranche pricing in today's environment?
David Golub: Depends on the transaction. Again, it comes back to what are the important criteria for the sponsor in the particular deal. There are transactions where we are, in our judgment, a big sense is we are a one stop, we think that first lien, second lien structures are the right answer. The places where one stops tend to be most attractive are growth buyouts. So if the sponsor is seeking to serially expand the facility over time without having inner credit or conflicts and without having to refi the whole facility, one stops are particularly powerful because you can just do add on transactions as needed. And it think that is true today as it was a year ago. But I think your statement, Ryan, is also correct that there are circumstances with transactions that maybe aren't so growth oriented where the first lien, second lien looks like the right answer to that. And those are probably more frequent than they were a year ago because for first quarter of last year, the syndication markets were choppy and sponsors were rightfully concerned about certainty of execution.
Ryan Lynch: Okay. Thanks for that color. Maybe more of a philosophical question on the dynamics of capital raising in today's environment. So with the heated environment, you have kind of two components you have. Your stock price are currently at a level where you guys have maybe the lowest cost of capital that you guys have ever had. So it's very accretive to book value and also you can deploy that capital or you guys or investors to demand a very low return on that capital being raise today. However, we have an environment where, as you have mentioned that it's very tough to put capital to work at good risk adjusted returns. So just from a high level philosophical standpoint, I mean how are you viewing these conflicting dynamics as far as capital raising in today's environment.
David Golub: To be honest, we don’t view this environment as different from prior environments. Our rule of thumb for expanding GBDC has always been the same, going back to April of 2010, which will raise additional capital if it's good for existing shareholders, new shareholders and the company. And in order for that to be true, we need to be confident that we will be able to deploy any new capital raised reasonably quickly and at returns that are incrementally good for existing shareholders and the company. So to us, there is kind of two elements to this. There is the math and there is the pipeline. And we look at those all the time.
Ryan Lynch: Okay. And then just one last one. Ross, I believe you mentioned in your prepared remarks the portfolio rating schedule where you had elevated rated 5 investments this quarter. I believe you said that those were a little bit temporary and some of those were rated 5 are ones that are performing above expectations. And you said that those were expected to maybe be repaid. If I look at kind of over the last couple of quarters, it looks like you guys have about $125 million higher than you guys have kind of run at the last quarter of rated 5 credits. So should we expect big big repayments this upcoming quarter as if you that rated 5 category is about $125 million higher than it was the last couple of quarters. And if so, should we expect them to accelerate OID and potentially fees in calendar second quarter.
Ross Teune: I can't give you specific quantitative guidance on repayments to be expected in Q2 but I think calendar Q2 -- but I think it is fair, Ryan to anticipate that we are in a period and we are going to stay in a period of higher than usual attention by sponsors to opportunities to refinance. And so my expectations would be that we are going to see more repayments activity over the course the coming quarters than trend line.
Operator: Our next question comes from the line of Christopher Testa with National Securities. Please go ahead.
Christopher Testa: David, just on your comments doing more one stop going forward. Just curious if you are anticipating that as you are expecting M&A to improve and for the demand for that to go up? Or just simply because that right now is presenting a better risk adjusted return relative to senior loans on the balance sheet.
David Golub: Great question. M&A is a real question mark right now. If you look at the data, new companies coming into the private equity eco system through new LBOs is definitely low and has been for some time. The question of when that is going to change is a great one. I think it will change. I am not sure when. And one of the factors that I think is impacting the situation right now is uncertainty about tax changes. So if we could waive the magic wand and we able to kind of tell the universe of business owners that capital gains rates are or not going to change and how they are going to change and when they are going to change, that would alleviate significant degree of this uncertainty if the resolution was that cap gain rates are going down and that lower wage is going to become applicable starting in January of 2018. Then we are likely to see continued relatively low levels of new M&A until the new cap gains rate takes effect. It will be effectively an incentive for business owners to weight. If on the other hand it becomes clear that there is not going to be a change to cap gains, that would take some people off the fence, of the waiting fence and move them toward engaging in M&A activity sooner. I don’t know how to gauge the probabilities on clarity on the go forward tax regime right now. And as a consequence I am of the view that we are likely to see the relatively slow environment continued for a while. But I think we will probably feel a little bit of improvement from Q1 levels but I think we are likely to see if remained relatively slow for a while until this uncertainty lifts. That the first part of your question. The second part of your question, I would say the degree to which our new originations in Q1 were in traditional senior secured as opposed to goals was in anomaly. I think a couple of quarters from now we will just look at it and say natural variation, degree of [brand] [ph] and variation, that quarter ended up at a little over 50% but the ratio is going to normalize around the 30%, 70% we have seen previously.
Christopher Testa: Got it. That’s great detail. Thank you. And also I was just wondering, how you are seeing the uses of capital for your originations change from calendar quarter one into calendar two, just the new money versus refi mix for your originations.
David Golub: Well, I can't really comment too much on calendar Q2 other than to say that as of now it's a bit better than Q1 was, calendar Q1 was. But we are not yet at the point in the quarter where we can really predict. We always run into the same issue which is much activity tends to take place around quarter end. And if it happens before quarter end then you get one outcome and if it comes after quarter end, you can have a big swing the other way.
Christopher Testa: Got it. Well, how would you characterize the change in just the backlog then?
David Golub: I am pleased to see that overall level of activity that we are seeing in our pipeline seems a bit better in calendar Q2 then it did in Q1. But I think it's too early to be translating that into any prediction about calendar Q2 originations.
Christopher Testa: Got it. And is there an ABL component to your retail book that’s significant?
David Golub: No.
Christopher Testa: Okay. Got it. And just curious, just going back for a second just on the M&A outlook. Just wondering if there is any particular industries where there is relatively less uncertainty where you could see the M&A picking up even if there remains some overhang from tax changes.
David Golub: I have to give that some more thought. I don’t want to give you a flip answer. I am not sure I am able off the top of my head to think through a rationale as to why one sector would be different from another. I think this is owners who foresee the potential to be able to keep more of their sales proceeds that that tends to be a common theme across different businesses. I want to give that some more though I will come back to you if I think of any further nuance to that.
Operator: Our next question comes from the line of [Leslie Vendrogrove] [ph] with Raymond James. Please go ahead.
Unidentified Analyst: With the realized gain this quarter, could you give me an indication of spill over income at the quarter's end?
Ross Teune: I am sorry, of what?
Unidentified Analyst: Of the spillover income at quarter's end after the realized gain? How much [flexibility] [ph] you guys have?
Ross Teune: Yes. The taxable spill over income?
Unidentified Analyst: Yes.
Ross Teune: I will talk with you separately kind of on that question to give you the tax component. I don’t have that in front of me here.
Unidentified Analyst: Okay. All right. And the kind of a follow up as to what you guys were discussing earlier. We have heard from some of your peers on commentary that they seem to be seeing a trade off right now on unitranche [indiscernible] products and unconsolidated senior loan funds. But you guys have a tendency in the past to have higher quarters of originations in both simultaneously. So is that something you guys see one do well while the other suffers a bit. Not necessarily materially but moving off that direction on trends or is that not a trend you see?
David Golub: So help me understand your question. You are saying that others are seeing that there...
Unidentified Analyst: The unitranche for the SLF, yes?
David Golub: The unitranche, in a quarter where there the SLF does well, it's hard to originate unitranche, is that your question?
Unidentified Analyst: Yes. That’s obviously at attractive term.
David Golub: Yes. I haven't really thought about those two as being correlated in one way or another for us. I think, we tend to think about the environment as being attractive for origination or more attractive or less attractive, not so much in terms of SLF versus one stops.
Unidentified Analyst: Okay. And then, most of my questions have been answered but just on, you talked about the SBIC debenture capacity you have left. Is there a field for the level of activity for those eligible stop loans? Because I know obviously the upper middle market you are seeing spread compression there as they have gotten much more active, put it on the smaller business style. Have you seen the same there?
David Golub: I think we have got a long term record that we can look at, of kind of case of deployment of SBIC capital. My expectation is that the forward will look a lot like what we have been doing.
Operator: Our next question comes from the line of -- sorry, it's a follow up question from Jonathan Bock, Wells Fargo. Please go ahead.
Jonathan Bock: Steve and Greg, Golub has been particularly active in the retail oriented sectors and only because you hear broad news that had a rather difficult operating space when we think of like super stores or others that either fall under for adjusted taxation or be impacted by Amazon or technological changes in retail. I would be curious to see how you and your originators are originating credit with those risks in mind and what you are doing to mitigate them.
David Golub: Sure. So no question retail is a challenging sector right now. There is excess capacity because of there is too may retail square feet, there is a continuing shift to online, as you said. There are wage pressures. There is also a new phenomena we are seeing which is, much more rapid shifts in consumer tastes where companies are forced to react much more quickly than has been the case previously. We have some exposure to retail. We have always been very cautious in retail. We tend to avoid sectors with significant fashion risk or that are too trendy or faddy. But I would say in the current environment, we are being even more selective in our underwriting in the sector in recognition of the challenges that this sector is facing. You didn’t ask your question I expected you to ask which is, are we worried about our exposures in the sector, and the answer there is, not really. We are watching it very carefully but we think we are in pretty good shape despite the fact that there is some significant headwinds facing the sector.
Operator: Our next question comes from the line of [Fade Zazmine with Enfil Capital] [ph] Please go ahead.
Unidentified Analyst: I hadn't heard anything mentioned during your presentation about -- I have not heard anything during the last 45 minutes concerning the actual credit metrics of your portfolio. I wonder if you have anything you could share with us concerning the trends in interest expense coverage or leverage, revenue growth of the companies you are invested in?
David Golub: Sure. First, we did cover some aspects of how we look at credit looking at both non-accrual trends and at our risk ratings, our 1 to 5 risk ratings. We think those are actually -- in many ways more powerful in describing what's going on from a credit perspective in the portfolio than financial metrics that are disconnected from the actual credit attributes of borrowers. On additional piece that I point you to is we publish each quarter the Golub Capital middle market index which is available on our Web site and it show you year-over-year revenue and EBITDA trends for the portfolio for the first two months of each calendar quarter relative to prior year. And if you pull up that data, you will see that the data points to slowing revenue growth in the portfolio. But still very good revenue growth. And it shows unusual degree of dispersion around EBITDA results where consumer based businesses show decreases year-over-year, technology companies shows very significant increases year-over-year and the average was about flat.
Unidentified Analyst: I also wondered if you have any update on noise coming out of Congress concerning the leverage potential to increase for BDCs?
David Golub: Yes. The question is about the new proposed legislation related to BDCs. I think it's called the BDC Modernization Act. The new information is that a new version of this has been introduced in the house. I don’t have an update on whether that is viewed as a key legislative priority by republican leadership in the house nor do I have any information on what's going on with that legislation in the Senate. But I think we are tracking it. I think it's going to be interesting to see how the republican Congress prioritizes the many things in process over the course of the remainder of this year.
Unidentified Analyst: Thank you. And my last question is, with the said comments this week seeming to cement a 25 basis point increase in June in the interest rates. I am wondering kind of two-fold. How you think that might play out in your spread compression comments that you made earlier and then alternatively, obviously you are primarily invested in floating rate asset, so it would probably flow through very quickly into assets. I am wondering if that would mean that there is a potential later in the year for expanded earnings power in the portfolio?
David Golub: So you are correct that almost all of our assets are LIBOR denominated and I think it's reasonable to assume that if the fed raises rates that LIBOR will go up as well. The LIBOR forward curve right now indicates an expectation of rising LIBOR. If we saw an increase in LIBOR, this would be to an increase in earnings because we would have higher interest income. We would have a little bit higher interest expense too because most of our debt is floating rate but we would have higher earnings flow through on the equity funded portion of the loan portfolio and the fixed rate debt supported portion of the loan portfolio. 25 basis points is not a lot in the context of the profitability of the company but I think we are well positioned if LIBOR rate increases continue and become meaningful over the next few quarters or few year. I guess I would also just through in a caution which is, the forwards on treasures have fallen and flattened over the course of the last couple of months. So I am not sure that the market has any confidence and I certainly don’t have any confidence that we are going to see a series of rate increases over the course of this year. We will be prepared for multiple scenarios. One of the scenarios that we will be prepared for and the one that if I had to get guess I view as most likely right now, is one where we see a limited number of increases in the near term.
Operator: We have no further questions on the phone lines, sir.
David Golub: Well, I want to thank everyone for joining us again this morning and if you have any further questions, please feel free to reach out to Gregory or to Ross or to me. Thanks again.
Operator: Ladies and gentlemen, that concludes today's call. We thank you for your participation and ask you to please disconnect your lines.